Operator: Thank you for standing by. And welcome to the Capital Clean Energy Carriers Corp. First Quarter 2025 Financial Results Conference Call. We have with us Mr. Jerry Kalogiratos, Chief Executive Officer; Mr. Brian Gallagher, Executive Vice President, Investor Relations; and Mr. Nikos Tripodakis, Chief Commercial Officer. At this time, all participants are in a listen-only mode. There’ll be a presentation followed by a question-and-answer session. [Operator Instructions] I must advise you that this conference is being recorded today, Thursday, May 8, 2025. The statement in today’s conference call that are not historical facts, including our expectations regarding acquisition, transactions and their expected effects on us, cash generation, equity returns and future debt levels, our ability to pursue growth opportunities, our expectations or objectives regarding future distribution amounts, all share buyback amounts, capital reserve amounts, dividend coverage, future earnings, capital allocation, as well as our expectations regarding market fundamentals and the employment of our vessels, including redelivery dates and charter rates, may be forward-looking statements as such, as defined in Section 21E of the Securities Exchange Act of 1934 as amended. These forward-looking statements involve risks and uncertainties that could cause the stated or forecasted results to be materially different from those anticipated. Unless required by law, we expressly disclaim any obligation to update or revise any of these forward-looking statements, whether because of future events, new information, a change in our views or expectations to conform to actual results or otherwise. We make no prediction or statement about the performance of our common shares. I would now like to hand over to your first speaker today, Mr. Brian Gallagher. Please go ahead, sir.
Brian Gallagher: Thank you, Operator. Good morning and afternoon to whoever you are, and thank you for listening to the Capital Clean Energy Carriers Q1 2025 earnings call. As a reminder, we will be referring to the supporting slides available on our website as we go through today’s presentation. Let’s start then on Slide 4 with the highlights. First quarter 2025 was an important quarter for the company in many respects. Firstly, net income from operations for the quarter amounted to just under $81 million, including a $46.2 million gain from the sale of two container vessels. This is included in the earnings release in our discontinued operations. These are the last two of the five 5,000 TEU containers that we agreed to sell last year, and they were delivered to their new owners during this quarter. Overall, we have raised a total of $472.2 million in net proceeds from the sale of 12 container vessels since December 2023, and have recycled this capital into our focus on gas transportation assets. Another key development for the quarter is that we have secured employment for two of our newbuilding LNG carriers for five years and seven years, respectively, both with an additional five-year option. My colleague, Nikos, will cover that in more detail later. What is more, during the first quarter of the year, the LNG carrier, Axios II, commenced its seven-year bareboat charter, where the charter has the option to extend by an additional three years. The new charters, in addition to certain options exercised by one of our charters, has increased our firm charter backlog to $3.1 billion. We believe that these charters further corroborate our view on the positive fundamentals of the longer-term LNG shipping market and provide our investors visibility into both employment prospects and cash flows, well in advance of our first LNG newbuilding delivery. With that, I’ll now turn it over to Chief Executive, Jerry Kalogiratos and Nikos Tripodakis, our Chief Commercial Officer, for the remainder of the presentation.
Jerry Kalogiratos: Thank you, Brian, and good morning to everyone listening in today. It has been, indeed, a very busy quarter across all fronts, and is also reflected in our financials, which you will find on Slide 6. As Brian pointed out, we derived a further $46 million in one-off gains this quarter from completing the sale of the last two out of the five container vessels we agreed to sell last year. We will continue to be opportunistic about the sale of the three remaining container vessels, as these are modern eco-vessels with long-term cash flow attached. The dividend, as we discussed in the last call, is a core component of the company’s value proposition to shareholders, and making this quarter the 72nd consecutive quarter that the company has paid a cash dividend. Turning to Slide 7, we can see that our capital base continues to consolidate and we await the next schedule of ships to be delivered next year. Our cash position continues to be solid, supported by the completion of two further container sales, bringing total cash to $420 million. With a great deal of uncertainty and volatility injected into capital markets in recent months, money markets continue to factor in almost 100 basis points in interest rate cuts by the Fed during 2025, and we take this opportunity to remind investors that CCEC could be a beneficiary of such a move, given 80% of our funding is on floating rates. Finally, our balance sheet is strong, which is important within the business we operate, but the main development for this quarter is a reduction of our open LNG carrier exposure by one-third, and enhancing the contract flex of our existing LNG charter book. We expect these developments to further enhance our financial flexibility. I will now turn to the more strategic matters on Slide 9. Our average charter duration now stands at 7.3 years across the fleet, with our LNG fleet showcasing a charter backlog of 91 years or $2.8 billion of contracted revenue. As you can see at the bottom of the schedule, two of our six LNG carriers under construction have now been placed on an energy supermajor for five years and seven years, respectively, with options to extend both charters by a further five years. This is in addition to certain options exercised by one of our charters for three existing vessels. This translates into an average daily time charter equivalent for our fleet across the firm charters of approximately $87,300 or $91,150, that is per day, including all options. In summary, our charter book continues to expand as we work towards fixing term employment for the remaining assets in our fleet. Turning now to Slide 10, and looking at the contracted revenue base in more detail. The impact of these charter extensions and the two new charters has boosted our total contracted backlog, including our container vessels to $3.1 billion or $4.5 billion should all options be exercised. The pie chart illustrates the breakdown of our total time charter revenue base using the firm charter periods. This remains a core strength of our proposition as a company, that is, counterparty diversity. You will note a slight departure from earlier presentations, where we included the names of all our counterparties. As our counterparties increased, and also in an effort to preserve confidentiality of certain commercial agreements, we have moved this to a more simplified format. It is important to highlight here that the LNG shipping industry charters are typically supermajors and other national or international energy companies, utilities, traders and liquefaction plant operators with high credit credentials. Overall, when it comes to CCEC, no single counterparty represents more than 20% of the $3.1 billion contracted revenue backlog. This diversity provides the company with a very strong framework to build our gas transportation portfolio further, with a mix of existing corporate relationships and new customers. I will finish off this section now with a quick look at our newbuilding CapEx program and our expectations with regard to its financing, described with more detail on Slide 11. So, we ended the quarter with $420 billion of cash on our balance sheet, which provides a solid buffer for the business. Clearly, our recent contract wins and option declarations, as we have stated previously, give us further financial flexibility. From our newbuilding program of $2.3 billion underway, we have already paid advances by quarter ends to the tune of $467 million. Assuming we finance 70% of the acquisition price of the LNG carriers and 60% of the other gas vessels, with debt amounting to approximately $1,560 million, that would leave us with an excess equity of $105 million, as Slide 11 shows, that is, without taking into account cash flow generation from our existing fleet. I would like to turn now to our Chief Commercial Officer, Nikos Tripodakis, who will run through our LNG market slides. I will be available to answer your questions at the end of the call. Nikos, over to you.
Nikos Tripodakis: Thank you, Jerry, and good morning or afternoon, everybody. There are two important issues to deal with before I move on to the market-focused commentary on LNG. Firstly, the effect of the U.S. trade representatives’ recently announced support fees. These are the fees that the new Trump administration has proposed to be levied on ships entering U.S. ports and which have been substantially reduced in their potential impacts from the original proposals. As far as LNG shipping is concerned, we expect minimum impact. The U.S. is targeting a rising percentage of U.S. LNG exports to be transported on U.S. flags, operate it or build LNG carriers from 2028 onwards, and until then, LNG shipping is exempted from any such levy. In any case, CCEC is heavily insulated against this development, as none of our LNG fleet on the water was built in China and none of our six LNG carriers under construction are being built in China either. Moreover, we view any theoretical suspension of LNG export licenses as a low-probability scenario and the exact mechanisms of such suspensions are still unclear. So, as far as the effects of USTR port fees are concerned, in our view, our business model is unaffected for now, but we will, of course, continue to closely monitor any developments. Moving on to the impact of tariffs. As Slide 14 shows, it is perhaps counterintuitive for the U.S., the largest LNG exporter, and China, the world’s biggest importer, to have little direct LNG traffic between them. However, this has been increasingly the case, as the graph on the left-hand side shows. Indeed, there have been no direct cargo from the U.S. to China since February, and trade has been modest in recent years between the two nations. We summarize our thoughts on the medium- and longer-term potential impacts from tariffs on the right-hand side of Slide 14. A positive development in this situation could be the signing of bilateral agreements between the U.S. and other nations with the aim to alleviate tariffs and balance the trade deficit with the U.S. More sale and purchase agreements for U.S. LNG projects will facilitate new final investment decisions, and as such, significantly boost demand for LNG trade. A potential headwind, if tariffs persist, however, could be the rising cost of real LNG projects looking to reach that FID. The financing, operational and capital funding costs for U.S. projects have risen since the pandemic, and the effect of tariffs is likely to further increase this cost and potentially delay FIDs. This remains a fast-moving, complicated and very important issue, and we will be looking to update investors going forward. Turning now to the LNG market itself. On Slide 15, we have highlighted three key areas. Point number one illustrates that newbuilding prices remain firm. There was a single order for an LNG vessel during Q1 for a reported price north of $260 million. Prices for newbuildings have been above $250 million since February 2023, according to brokers, and have not been affected by the weakness in the sports market throughout 2024 and 2025. This trend is now further expected to increase due to Trump’s regulatory release for U.S. LNG projects on the one hand and port fees on Chinese-built ships on the other. On the first point, we have seen multiple new sale and purchase agreements signed since the beginning of the year, as well as the first final investment decision since 2023 from Woodside on the $16.5 million-per-hour Louisiana LNG project. On the second point, the U.S. trade representative’s imposed port fees on Chinese-built vessels is expected to increase demand for Korean-built vessels, and as such, strengthen newbuilding prices further. Point number two on the graph on the Slide 15 illustrates that the longer-term time charter market has remained almost immune from the volatility and largely downward movement in sports rates over the past 12 months to 18 months. 10-year rates remain in the high $80s to low $90s range. As with the strength of newbuilding prices, long-term rates continue to reflect the fact that despite the weakness in the front of the curve, the LNG shipping market has and continues to be short modern tonnage from 2026 and 2027 onwards. Lastly, point number three shows how short-term time charter rates have been recovering from the lows we have seen in January. While the scale on this chart does not illustrate the scale of this recovery, sports rates have increased by around 300% from below $10,000 per day in January to around $40,000 per day at the end of April. This recovery has been a combination of an increase in sports requirements throughout the first quarter, windows of open arbitrage to Asia, which removed shipping links in the Atlantic basin as vessels repositioned East, and also reduced appetite from charters to regulate their own tonnage. And finally, as is illustrated in the next chart, an increase in the number of idle steam and tri-fuel [ph] vessels. Looking now at Slide 16, we can see the LNG vessel supply dynamics. Slide 16 illustrates the effect that the weakness in the current spot market has had on older tonnage and how operators of such tonnage are responding to the low charter rate environment. On the left-hand side, we can see the percentage of idle steam and tri-fuel vessels, with idle being defined as vessels being static for 14 days or longer. It is clear that there has been a steep increase in the percentage of idle vessels throughout the past year, as the percentage of both idle steam and tri-fuel vessels is currently the highest it has been over the past five years for both vessel types. According to market analysts, at the end of Q1 2025, the number of idle steam vessels reached 41, up from 19 in Q3 2024, while 18 tri-fuel vessels were idle at the end of Q1 2025, from only two in Q3 2024. Moreover, there are some interesting points around scrapping, as we can see on the chart on the right-hand side. Firstly, while relatively small in absolute number, 2024 saw a record number of LNG vessels being scrapped. Secondly, Q1 2025 has already seen the highest number of scrapping of any quarter, with three vessels sold for demolition, a number that, if annualized, would mean that 12 LNG vessels will exit the fleet, which is a 50% increase from the previous record year. In conclusion, the combination of record high idling and scrapping of older vessels supports our view that in the current energy market, where large, efficient and regulation-compliant vessels are required, there is limited room for older ships. Moving over to Slide 17, we can see what is, in our view, a relatively neutral approach to the LNG shipping supply and demand balance projection. The approach in this chart is holistic, aiming to consider all parameters that affect both the supply and the demand side. The basic premise under this analysis is that only projects that have reached FID are considered on the demand side, and only vessels that are unloaded are considered for the supply side. With relatively conservative assumptions around vessel scrapping and tonne mile demand, both in terms of East-West arbitrage and transiting through Suez, we can see that towards the end of 2026 and the very beginning of 2027, the market is balancing. From Q1 2028, the market becomes significantly short modern tonnage, with a deficit reaching approximately 100 vessels by 2029, once we add the recent FID on Woodside to Louisiana LNG. This deficit could widen even further by 2029 to 2030, if we consider the circa 80 million tonnes per annum of pre-FID projects, and the fact that there is limited yard capacity available, especially until 2030. As we all know, this analysis is multivariate and can be affected by many parameters. However, it is a strong view that there is significant upside from this base case. As an example for this, if the proportion of U.S. LNG delivered to Asia instead of Europe increases by just 10%, everything else in the analysis being equal, then the market would rebalance more than a year earlier, in Q1 2026. Thank you everybody and I will now turn it back to Jerry for the summary.
Jerry Kalogiratos: Thank you, Nikos. Moving to Slide 19. I firmly believe that the progress made during the reported quarter in solidifying our existing charter book and placing two new medium-term charters with a new high-quality customer further improves the company outlook and visibility for our shareholders. On the remaining LNG carriers, we have an order that will continue to be opportunistic about fixing long-term employment, as there are increasingly fewer uncommitted LNG newbuildings available at this time, when we see growing activity in the LNG industry with both new SPAs being signed and FIDs being taken, as Nikos described earlier. We’re also engaged in constructive discussions on the rest of our gas vessels, recognizing, however, that these will be employed into a more shorter-term market, and it is more likely than not when we will be able to provide employment updates on the closer to their delivery. The few remaining container vessels are well underpinned on long-term contracts, potentially out to the end of the next decade, but provide optionality for CCEC going forward. Now, turning to the last slide in the deck, Capital Clean Energy Carriers has continued to deliver on the objectives we set out, and the scale of our delivery has been strong for this quarter. Our LNG charter book has increased further. We derisk a third of our LNG order book by securing employment for two of our vessels, while retaining optionality with three containers on fleet and with a strong balance sheet, which includes over $420 million of cash. Importantly, this company has, and will continue to have going forward, a very young fleet, delivering the lowest unit rate cost possible to date to our customers, with the lowest environmental footprint, both critical aspects to success, given the commercial requirements of our customers, and the emerging regulatory environment when it comes to carbon and methane emissions. Looking forward, CCEC is expected to control the largest LNG 2-Stroke carrier fleet available to investors upon delivery, in addition to the other 10 multi-gas vessels. The company has considerable contract coverage of over seven years already and strong visibility on cash flows, while we believe that we have an advantage over many of our peers in only being invested in the latest gas technology vessels with fewer fuel capabilities. However, we’re not satisfied or tempted to rest. We need to address the deployment of our LPG and liquid CO2 portfolio that we’ll start delivering early next year. We need to continue to raise the profile and recognition of the company in capital markets, and gain traction with investors. So, plenty of work to do, but the first quarter shows what the company is capable of on our growth trajectory. With that, I will now pass it back to the Operator for questions.
Operator: Thank you. [Operator Instructions] And your first question comes from the line of Jon Chappell from Evercore. Please go ahead.
Jon Chappell: Thank you. Good afternoon, Jerry.
Jerry Kalogiratos: Hi, Jon.
Jon Chappell: So, first question is on the CapEx schedule. It looks like about $486 million that was pegged for 1Q 2026 has been shifted about half to 3Q 2026 and half to 1Q 2027. Is that your choice, based on kind of chartering opportunities or was that something from the shipyard or maybe even the financing side?
Jerry Kalogiratos: Jon, very well spotted. We have been able, with our partners, to adjust some of our CapEx and operational scheduling, which we have reflected in the CapEx schedule we provide every quarter. It was some optionality that we had arranged with our partners, the shipbuilder, at a minimal cost. And this, together with the charter opportunities we see in the market and the flexibility that we have in deploying these assets is -- has been a very valuable tool. So, we decided to switch some of the deliveries by a few quarters.
Jon Chappell: Okay. Thanks. And then, on the gas carriers, I understand that we’re going to have to wait to get closer to delivery to have a better idea, but maybe you can just help us understand how the discussions are going at this point. Some of the potential liquids that could be carried are relatively new markets, unestablished. What are these conversations that you’ve had so far, and is there a rough kind of target at this point, understanding we’re still maybe 12 months away, to kind of think about from either duration or a type of rate perspective?
Jerry Kalogiratos: So, as we discussed a couple of quarters ago when we went through the -- I’ll start with the liquid CO2 carriers, the handy vessels, right? So, as we discussed a couple of quarters ago, there is a lot of activity on the front of the movement of liquid CO2 and the number of projects. Some of them have taken FID, and we have already an operational project, Northern Lights. But the timeline of most of these projects is from 2028, 2029 onwards. So, our current discussions around the four liquid CO2 carriers, which are effectively a semi-ref, handysize, multi-gas vessel that can carry LPG, as well as ammonium and other cargos, in addition, of course, to liquid CO2, have been around either large companies that have different types of gas volumes, including grey, as well as low-carbon ammonia, LPG and are also involved in the liquid CO2 supply chains. So, some of these guys, they are interested in taking vessels like this for three years to five years and be able to deploy them across their logistic needs. But I think also you have the more, if you want, a normal LPG and ammonium business that would be very much interested in vessels like that. The order book for handysize semi-ref vessels is extremely small. Actually, we control a very big part of it. And we see good interest also for these vessels in the, let’s say, spot, quote-unquote, right, because this is more a short-to-see market, so one-year to-three-year type of charters. Usually, this type of demand, where you see most of the bids, will become more active much closer to delivery. So, multiple lines of inquiries, but I think the default would be to trade them as effectively handysize LPG ammonia carriers.
Jon Chappell: Got it. Thanks very much, Jerry.
Operator: Thank you. Your next question comes from the line of Liam Burke from B. Riley Securities. Please go ahead.
Liam Burke: Thank you. Hi, Jerry.
Jerry Kalogiratos: Hi, Liam. How are you?
Liam Burke: Fine. Thank you. I hope you’re doing well. Your analysis between production coming online in 2027 and an aging fleet would not only imply a stabilization of supply-demand, but capacity constraint beyond the 2027-2028 timeframe. Are your potential charters of the four unchartered LNG vessels recognizing this and are you seeing that in your negotiations?
Jerry Kalogiratos: Liam, I’ll let Nikos take this one.
Liam Burke: All right. Thank you.
Nikos Tripodakis: Hi, Liam, and thank you for this question. It’s actually a very good one, and I think that’s exactly what our recent deals reflect, i.e., the front of the curve can be very low and the spot market can be weak, the one-year market can be weak, but when it comes to the supply-and-demand fundamentals in terms of serious charters that are looking for multiple vessels, efficient vessels, then the weakness dissipates, and we revisit rates and periods around the 90,000-per-day mark. So I don’t know if that answers your question, but charters, yes, understand this deficit coming in the market from 2027-2028 onwards and pay rates that reflect that.
Liam Burke: Great. Thanks. Jerry, on the four handysized on order, if the -- do you see the potential for them to operate in the LPG spot market for the time they’re delivering until you can secure work for them?
Jerry Kalogiratos: Yeah. Absolutely. I mean, these are multi-gas vessels of the same type, very attractive ships. And as I said earlier on, because the order book is very small and this is an aging fleet in the water, we see quite a bit of interest from, let’s say, kind of normal chartering inquiries that is to trade in the grey ammonia and the LPG business.
Liam Burke: Great. Thank you, Jerry. Thank you, Nikos.
Jerry Kalogiratos: Thank you, Liam.
Operator: Thank you. Our next question comes from the line of Alexander Bidwell from Webber Research and Advisory. Please go ahead.
Alexander Bidwell: Good afternoon. Thanks for the time. So the three options exercised in the on-water vessels and the two charters for the newbuild delivery in 2027 seems to point towards a very clear demand for tonnage 2027 onwards. Are you seeing any uptick in appetite for longer-term charters in the near-term, so say late 2025 into 2026, or are charters expecting the spot market to be more beneficial to them?
Nikos Tripodakis: In terms of earlier deliveries, 2025 and 2026, anybody that expected volumes for those periods have already secured shipping for them. And there’s sort of a lag in terms of how the delay of some projects we expect in 2024, 2025 has affected the market, exactly because charters have been covered with their shipping positions for those periods. What we do see for deliveries in 2025 and 2026 are opportunistic charters that are trying to take advantage of the weakness in the front of the curve to basically buy some optionality for the years in which they anticipate the deficit growth rate to kick in. For example, starting 2025, two years plus one plus one in terms of options. That is something very common recently when we’re discussing about the bids in the market for 2025 and 2026, but not for longer periods. There has been one discussion for 2026 delivery for seven years that concluded this year, but that has been the only one.
Alexander Bidwell: All right. Thank you. Thank you for the color there. And then looking, I guess, over at sort of global supply-demand. So, there’s a significant amount of attention on these new liquefaction volumes hitting the market. What sort of developments are you seeing on the regas side? And what potential headwinds or tailwinds could we see in the carrier market stemming from over or under supply of regas capacity?
Jerry Kalogiratos: It’s a good question. And what I can tell you in terms of regas capacity, both in Europe and Asia, is that in the multiples in terms of liquefaction capacity. So, we don’t expect any issues when it comes to regasification capacity being able to cover the liquefaction capacity. China, Japan, Europe have multiples in terms of their demand for that capacity.
Alexander Bidwell: Okay. And then just a quick follow-up. Just looking at a seasonal basis, do you see any, I guess, potential tailwinds from floating storage opportunities as we enter a period of oversupply of liquefaction capacity?
Jerry Kalogiratos: If we’re seeing any tailwinds from, sorry, I didn’t hear that.
Alexander Bidwell: So, do you foresee any tailwinds from floating storage opportunities as we enter a period of oversupply of liquefaction capacity, sort of in the back half of the decade?
Jerry Kalogiratos: It’s an interesting question. Traditionally, floating storage at LNG has not worked the same way it does in oil, because obviously of the boil-off, it comes at an extra cost. So, you need the contango between specific parts of the curve to be steep. And what we’re seeing right now with all the risks, geopolitical risks around Europe and the prices of global markets, European prices and Asian prices, we do not see any floating storage being incentivized right now. Obviously, this can change, and it depends a lot on seasonal patterns, storage deficits and contango in the curve. But as of now, we cannot really say that floating storage will be or is -- there are any indications that it will be a demand factor.
Alexander Bidwell: All right. Thank you, Jerry. I’ll turn it back over.
Jerry Kalogiratos: Thank you.
Operator: Thank you. Your next question comes from the line of Omar Nokta from Jefferies. Please go ahead.
Omar Nokta: Hey. Hi, Jerry. Hi, Nikos. Good morning or good afternoon. Just a couple of follow-ups on the two newbuilding charters. Obviously, nice to see that, and as you mentioned, shows that the sector, the business is still operating or functioning appropriately. You didn’t explicitly give a rate, but Nikos, you sort of mentioned in your comments that in 2027 rates are closer to 90,000. Should we extrapolate that that’s kind of what the rate achieved is on these charters?
Nikos Tripodakis: Yes.
Omar Nokta: Okay. Good. And then what’s the expected sort of -- given the financing that you put on, what do you think the breakeven is going to be on these newbuildings?
Jerry Kalogiratos: We have not -- hi, Omar, it’s Jerry. We have not yet concluded on the financing of these assets. We can provide a breakeven number potentially in a couple of quarters when we have more visibility.
Omar Nokta: Okay. Thank you. And then just -- finally, just on those -- the interesting kind of note that you have on those charters is that you can swap to other later generation ships at your choosing, it sounds like. Clearly gives you some flexibility. Can you just -- maybe just two questions on that, can you give just a sense of what is a -- what would you say is late generation? Is that all of your ships or is it just the newbuilds? And then also, what circumstances or conditions would you want to do that where you’d want to substitute? Thank you.
Jerry Kalogiratos: So that’s a very good question. Just to clarify what it means, it means that it is within our option to deliver any of the vessels we have, our newbuildings, to those two charters. And a situation whereby we would be incentivized to do something like that would be, let’s say, we would secure a very good short-term rate for one of the vessels delivering in towards the end of 2026, let’s say, a six-month winter charter at very high rates and then we could deliver that vessel to all your major charters. So it provides a lot of flexibility and optionality for us, which in a market like this is very valuable.
Omar Nokta: Yeah. Great. Well, thank you. That’s it for me.
Operator: Thank you. [Operator Instructions] And your next question comes from the line of Climent Molins from Value Investor’s Edge. Please go ahead.
Climent Molins: Hi. Good afternoon. Thank you for taking my questions. Most has already been covered, but I wanted to delve a bit into your U.S. port fees commentary. You mentioned U.S.-built LNG carriers by 2029 sounds optimistic, which is almost a given. But could you talk a bit further about your, let’s say, theoretical cost expectations for a U.S.-built LNG carrier relative to the usual Korean-built? And secondly, based on the current proposal, who will be responsible for complying with this regulation?
Jerry Kalogiratos: So Clement, now this is the more esoteric stuff that we’re going into the -- and I don’t think anybody has full clarity. I -- what I can tell you from our previous experience is that the rule of thumb has been that the cost of a U.S.-built ship of any type has been maybe three times, four times the cost of building the same ship in Korea or China. In this particular case, when we’re talking about LNG carriers, where there are also additional challenges with containment systems, LNG-fueled engines, cryogenics and other more complex machinery. I mean, there have been even failures at the beginning in very large shipyards in Korea, when the industry started trying new systems. So I think it’s going to be quite challenging for innocent shipyard capacity to take on such projects, if that exists at all, which many people say that there’s no such shipyard capacity, at least for another two years or three years. Now, with regard to who exactly is going to be responsible to implement that, it looks to me, but again, I’m not 100% sure if there is clarity on that, that it’s going to be the liquefaction operators, the exporters that they will have to ensure that their volume is transported on U.S.-built LNG ships.
Climent Molins: Makes sense. Thank you for the cover and thank you for taking my questions.
Jerry Kalogiratos: Thank you.
Operator: Thank you. There are currently no further questions. I will now hand the call back to Jerry for closing remarks.
Jerry Kalogiratos: Thank you, Sarah, and thank you all for joining us today.
Operator: Thank you. This concludes today’s conference call. Thank you for participating. You may now disconnect.